Operator: Hello, everyone, and welcome to Johnson Outdoors Third Quarter 2013 Earnings Conference Call. Today's call will be led by Helen Johnson-Leipold, Johnson Outdoors' Chairman and Chief Executive Officer. Also on the call is David Johnson, Vice President and Chief Financial Officer. [Operator Instructions] This call is being recorded. Your participation implies consent to our recording this call. If you do not agree with these terms, simply drop off the line. I would now like to turn the call over to Cynthia Georgeson from Johnson Outdoors. Please go ahead, Ms. Georgeson.
Cynthia Georgeson: Thank you, operator, and good morning, everyone. And thank you for joining us for a discussion of Johnson Outdoors' results for the 2013 fiscal third quarter. If you need a copy of our news release issued this morning, it's available on the Johnson Outdoors website at www.johnsonoutdoors.com, under Investor Relations. Before I turn the call over to Helen, I need to remind you that this conference call may contain forward-looking statements. These statements are made on the basis of our views and assumptions at this time and are not guarantees of future performance. Actual events may differ materially from those statements due to a number of factors, many of which are beyond Johnson Outdoors' control. These risks and uncertainties include those listed in our media release today and our filings with the SEC. If you have additional questions following the call, please contact either Dave Johnson or me. It's now my pleasure to turn the call over to Helen Johnson-Leipold. Helen?
Helen P. Johnson-Leipold: Good morning. I hope you've had an opportunity to review our third quarter earnings announcement. I'll start off with comments on the marketplace and our results, and then share perspectives on the future. Dave will cover some key financials. The third quarter is when the warm weather outdoor recreation season kicks into high gear. The breadth of our outdoor equipment portfolio provides us insight across a wide range of outdoor markets. While each is different, all have been impacted by an unseasonably cold and rainy spring, which delayed the start of the season and, to some extent, the long tail of the recession. None have returned to prerecession highs, which is why our emphasis on gaining share is so important. Our Johnson Outdoors 2015 3-year strategic plan was based on a continued, steady, moderate growth landscape across our markets. Consistent with that outlook, third quarter and year-to-date revenues were up 1% and 3.5%, respectively. Our plan's major focus is on growing profits faster than sales, and we're doing that, delivering 13% and 24% growth in operating profit year-over-year for the quarter and first 9 months, respectively. Net income rose dramatically, largely due to a lower effective tax rate and was up 52% and 71% year-over-year during the quarter and the year-to-date period, respectively. So solid results over all. Marine Electronics was the primary growth driver, bolstered by a strong lineup of new products which accounted for nearly half of sales during the quarter and the year thus far. This was a record third quarter for our fishing business and our outdoor gear business. Notably, consumer camping segment contributed to growth, primarily due to the addition of Jetboil, the leading camp stove brand, which we acquired last November. Declines in Watercraft sales were anticipated, as we continue to focus on higher margin SKUs and strategic restructuring overseas. Diving sales reflect the impact of bad weather in Northern Europe and tough economic conditions in Southern Europe, which are major diving markets. However, system and process improvements helped to minimize the impact on the unit's profitability. We are reaping the benefits of efforts over the past 3 years to build a strong foundation for sustained profitable growth in each of our businesses. Clear strategic focus and disciplined execution are key factors in the progress achieved. Investment in innovative products and technologies has been, and will be, a core driver to continued success. For the ninth consecutive year, our new product performance is on track to generate 1/3 or more of total company sales. Innovation is who we are, it's part of our DNA. Innovation drives growth for us, our markets and our customers. Breakthrough innovation like proprietary Humminbird Side Imaging Sonar, Minn Kota iPilot Link and Jetboil FluxRing pushed the technology envelope to expand the marketplace by creating whole new categories of product. While not all innovation is breakthrough, in order to be successful, it has to be meaningful and provide a unique point of difference that enhances the outdoor enthusiast's experience. In July, 2 of our latest innovations were named Best in Show in their categories at ICAST, the world's premier fishing show. Competition for ICAST awards is fierce, because winners are selected by ICAST attendees who are the elite of the fishing enthusiasts, everyone from professional anglers to avid amateurs to fishing journalists and, of course, industry members. For the third straight year, Humminbird walked away with top honors in the electronics category with the 360 Imaging bow-mount technology. What makes 360 so unique is that for the first time, anglers can get a full spectrum picture below the boat, front, back and both sides, whether moving or standing still. A true breakthrough technology. The other big winner at ICAST was our new Old Town Predator fishing kayak series, which was named Best in Show Fishing Boat. The fishing kayak segment has been the fastest growing paddling segment for a number of years, and the ICAST award recognizes that the Predator brings something better than what's out there to this important category. From concept to design to commercialization, anglers were intimately involved every step along the way. Clearly, a boat created for anglers by anglers. These boats are stable and easy to paddle and have a unique new 3-point Element seat, easily adjustable to the angler's preferred fishing position. 6 accessory plates allow outfitting with all the latest gear, electronics or tackle accessories without ever having to drill into the hull of the out -- to outfit the boat. The Old Town Predator is meaningful innovation at its best, delivering design and features that truly enhance the fishing kayak experience. We also just picked up another new product honor at this week's Outdoor Retailer show, which is the major camping, hiking and paddling trade show. The new Jetboil Jewel [ph] was named a prestigious Gear of the Show winner by the Gear Institute. The Jewel has a larger burner, cook pot and fry pan, so you can cook a wider variety of food in a lot more ways. Both the cook pot and the fry pan have integrated proprietary FluxRing technology, offering the same push-button start, fast-heating time conveniences and lightweight easy-to-store design the Jetboil family of camp stoves are known for. Both ICAST and Outdoor Retailer show awards are important in this industry to our dealers and consumers who follow the show religiously, looking for the latest and greatest products and gear. As a result, these recognitions give us a nice competitive edge heading into the next year. Innovation like this doesn't happen overnight. It's an iterative process that begins with a deeper, richer understanding of our consumers, markets and recreational activities, combined with our technical and design expertise to translate what we know into products that are better than what's out there. This takes focus and discipline and it's getting harder, not easier, because expectations are growing, due largely to the rapid pace of technology advancements. Nowhere is this more evident than in fishing electronics. 20 years ago, trolling motors were clunky, loud and tough to steer and deploy. Today, they're sleek, easy to deploy with hands-free steering and virtually silent running. Likewise, fish-finders. I remember when the depth finders first came out and fish looked like faint blips on the screen. Today, we can see fish in their habitats in detailed video-like underwater imaging. You used to use a compass or landmark on shore, to get back to your favorite fishing spot. Today, fish-finders utilize sophisticated GPS and cartography to take you there and to help you find even more productive fishing places. That's why our acquisition assessment process includes both companies and technologies that can further enhance the fishing experience. Recently, we acquired a technology that enabled an angler to map his own favorite body of water, we call it AutoChart. There are a lot of smaller or private waterways off a beaten path that aren't charted. With AutoChart, the angler can map his favorite spots on his Humminbird fish-finder and then apply LakeMaster's patented feature, highlighting shallow water and depth, as well as water offset, to create a detailed map of his or her favorite fishing hole. And with the Minn Kota iPilot Link, he can set his own contour of courses, and his fishing motor will follow those automatically. Clearly, we are pioneers and leaders in fishing electronics, and now in fully integrated fishing systems that enable multiple technologies to communicate and work together to be the best fishing buddy around. And we should be, because not only do we know fishing better, we are also the only fishing equipment company with such a broad spectrum of technologies and technical expertise in our portfolio. We will continue to invest to keep the pipeline in this business full and exciting. The goal of our 2015 3-year strategic plan is to ensure that Johnson Outdoors is a healthy driving portfolio of businesses, consistently growing profits faster than sales. We're targeting a 3% to 5% compound annual growth rate in sales, and 6% to 7% operating profit by the end of 2015. While we are pleased with financial performance this year, we have more to do to achieve the balanced portfolio we envision. We remain excited by the future and are confident in our ability to enhance value for our stakeholders, long term. Now I'd like to turn it over to Dave to discuss the financial highlights. Dave?
David W. Johnson: Thank you, Helen. Good morning, everyone. Financial performance was solid for the quarter and year-to-date, particularly operating profit. As Helen pointed out, we're benefiting from significant efforts over the past few years, which have improved operational efficiency, enabling it to drop more to the bottom line. Going forward, we will realize additional benefit from 2 key initiatives this year. First, the scheduled closure of European Watercraft operations. When we established a footprint in Europe 10 years ago, the paddling market was really starting to take off. Despite healthy revenue growth early on, margins were pressured by consistently rising costs. Initially, we planned to move to a local distributor business model in the region. But with the state of the economy being what it is in Southern Europe, that just isn't viable. So we're closing the doors there at the end of September. Total Watercraft restructuring costs this year are expected to be about $1.6 million and we're projecting around $2 million of annual savings going forward. Second, a new satellite production facility in Mexicali, Mexico is supporting our motors business. The goal here is to protect and strengthen our competitive position in entry-level motors by enhancing features in our offering while controlling labor costs. We're moving carefully and methodically in getting this facility up and running and have been diligent in our efforts to ensure high-quality -- high-level quality processes and controls. Our Marine Electronics business has been growing steadily, and we're expecting that trend to continue. As a result, the Mexicali operation is an adjunct to, and not a replacement for, our global Minn Kota production hub in Mankato, Minnesota. So there's been no impact on jobs in Mankato. Pilot assembly testing is complete and we expect the facility to be in full production mode for the next fiscal year. We're projecting at least $1 million in annual savings going forward from this project. Just a couple of comments regarding working capital. As reported, inventory is up year-to-date versus prior year. This isn't surprising, given the higher demand in Marine Electronics and the addition of Jetboil, which we acquired during the first quarter of this fiscal year. That said, cash-to-cash days have improved by 6 days year-over-year. We're watching inventory very closely and doing what we can at this point in the year to manage levels down. Last year, the season started very early and ended early. This year, the season started late. And if the weather holds up, it could end later. Right now, movement at retail is strong for the first time of the year, which is a good sign. Last but not least, I want to touch on net income, which, as Helen pointed out, is ahead of prior year by 71%. A key driver behind the favorable comparison is the significantly lower effective tax rate year-over-year. Recall that last year, net income was impacted by an effective tax rate of nearly 50%. We told you we were evaluating strategic -- strategies to return the tax rate to more historical levels. And during the quarter and year-to-date period, changes in the company's foreign tax valuations brought the effective tax rate down and thus, less of a drain on earnings this year. Just to reiterate what Helen said, we're making good progress, but there's more work to be done to create a more balanced contribution of profits across the portfolio. Now I'd like to turn things back over to the operator for the Q&A session. Operator?
Operator: [Operator Instructions] Our first question comes from James Fronda with Sidoti & Company.
James Fronda - Sidoti & Company, LLC: Could you, I guess, talk about the commodity prices? I mean, do they still seem in check?
David W. Johnson: Yes, they seem to be in check so far. So we'll end the season in pretty good shape with that.
James Fronda - Sidoti & Company, LLC: Okay. And I guess, could you give us a little more insight on, I guess, your Marine Electronics for the fourth quarter? Last year, revenues were slightly down, but the year before for that, they were significantly up. I mean, do you have any, I guess, insight?
David W. Johnson: On the fourth quarter?
James Fronda - Sidoti & Company, LLC: Yes.
David W. Johnson: I don't know. I mean, it's hard to say because, again, the season started late. So if the weather holds, we could have a decent fourth quarter. But it's just -- it's hard to say right now.
James Fronda - Sidoti & Company, LLC: Okay, all right. And any cash flow you get going forward, I guess, it'll be used to kind of on debt? Have you guys thought about a dividend at all?
David W. Johnson: Yes. We've been having a lot of discussion on what to do with our cash going forward. So all options are on the table, dividend, then we'll continue to look at other things.
Operator: Our next question comes from Brian Rafn with Morgan Dempsey.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Get back to that question, Dave, when you talked about commodities, would you say your supply chain commodity costs are flat? Would you say they're up slightly incrementally? Can you put a kind of a number on it?
David W. Johnson: Overall, there hasn't been a ton of movement. I mean, pockets here and there are up. But overall, I would say flat.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay. Is there anything from the standpoint x cost? Would there be anything in delays or longer lead times or anything for materials?
David W. Johnson: I don't understand the question, Brian? Can you clarify that?
David W. Johnson: Yes. Relative to if the supply chain cost for materials, if there really hasn't been much plus or minus in inflation in cost, are there any delays or lead-time changes in getting critical subassembly parts or materials?
David W. Johnson: It's always a challenge on the electronics side with long lead times. There hasn't been necessarily though a big change in that. So we continue to manage that pretty closely. But again, it's always a challenge.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay, okay. I missed your opening comments. I had to dial in 3 times, they didn't -- the operator couldn't find the call. So what -- the closure of the Watercraft plant, what was the -- I missed the dollar amount, severance cost or closure cost?
David W. Johnson: $1.6 million this year is what we expect in restructuring.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay, okay, okay. And as the -- as your business has built, what are you seeing relative to kind of the -- maybe not so much Marine Electronics, because it's a little bit more big-box, but kind of the scuba diving, camping, watercraft, some of the mom-and-pops, the specialty guys, what is their sentiment to build inventory? Is it strictly kind of just in time based on their demand, or are they building any channel inventory?
Helen P. Johnson-Leipold: They have always been very concerned about building inventory. So they always keep it very tight, and that certainly isn't changing.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay, okay, okay. Anything from the standpoint of headcount changes? Where would be kind of your -- are you guys doing any hiring? Are you kind of maintaining? Give me a sense on your labor pool.
David W. Johnson: Overall, it's flat. As we'll go into next year, we'll do some investing and some hiring here and there where there's growth areas.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay, okay. And then what are you seeing salary, wages, kind of low-single digits? Anything out of the norm?
David W. Johnson: Nothing out of the norm right now. We're looking at low-single digits and pretty much the same that we've seen over the past couple of years.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay. Dave, the foreign tax valuations, the things that you've done to kind of get that back to more of a normal statutory rate, is that things that you can continue in the future? Or will you avail yourself of onetime tax provisions? Give me a sense of if that's ongoing.
David W. Johnson: Yes. This year, year-to-date, we're at a 22% rate. I don't think that will continue. I mean, I think, in the future, we'll get back up into a more normal rate. Now there are opportunities internationally that we'll take advantage of. But most of the stuff we've done on the U.S. side is pretty much behind us.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay, okay. And I missed your opening comments. What's kind of been the trend in the scuba diving area for this year?
Helen P. Johnson-Leipold: Well, we have a significant piece of our business is outside of the U.S. and in Europe. And Europe is still being impacted from economic turmoil plus there's been bad weather, not just in Europe, but across the board. So it's been a challenge. I would say that we are certainly holding our own. It's hard to read on the shares, but our feeling is that we are at least maintaining our share or growing it.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay. Is there much -- Helen, relative to the scuba diving side, we ask it on the camping side with the military with, I think, Eureka! Is there much, I don't know, Navy SEAL or scuba diving for the military or for dive, like sheriff departments, rescue units, that type of thing. Is there much of that law enforcement for SCUBAPRO?
Helen P. Johnson-Leipold: That's not a significant segment for us. We do sell in to that group as they need it, but it is not a specific area that we develop unique product for. So we are used by them, but not anywhere close to what we have done in our camping business.
Operator: [Operator Instructions] Our next question comes from Michael Schechter with Mentor.
Michael Schechter: Dave, what's your normalized tax rate?
David W. Johnson: Our U.S. federal tax rate is about 35% and we'll pay another 1 point or 2 on state, probably. So I usually think about 35% to 37% as a kind of a standard.
Michael Schechter: Okay. And just going back to the dividend concept, the balance sheet for the last 6 quarters on a 4-quarter average run rate has been positive cash, so there's no debt on the company. And the cash flows -- free cash flow after CapEx is running $2 a share. Have you thought about a dividend as well as -- I mean, conceivably putting a turn of debt on the company and paying out a special dividend just to bring this back to some financial discipline in capital allocation?
David W. Johnson: Yes. Mike, I mean, just to reiterate, I think we've had active discussions about what to do with our -- the good balance sheet that we do have. So I can't commit to anything right now, but just everything is on the table and we're looking at a lot of different options.
Michael Schechter: Okay. I mean, you know there are ways. I know you've got cash offshore. But you could pay a preferred if you didn't want to pay the tax on the cash. And certainly looks, given the way that cash flows are now, that you could easily support a $1 a share constant dividend and easily a $5 special dividend and have room to grow the company with acquisitions.
David W. Johnson: Yes, those are good ideas. And like I said, we'll continue to look at those kind of things.
Operator: Our next question comes from Brian Rafn with Morgan Dempsey.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Follow-up question on cash flow. What -- your capital funding rate, so if you look at property, plant and equipment due to depreciation and amortization, Dave, if you look out the next 3, 4 years, how would your kind of CapEx to D&A ratio run?
David W. Johnson: That's a good question, because this year we're investing. So CapEx will be a little bit higher than depreciation. I usually say, obviously, the long run is going to equal out. But probably for the next year or 2, as we continue to look at opportunities, that will translate into probably a higher CapEx number.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: And where might -- where would you be kind of targeting that CapEx across your business the next couple of years?
David W. Johnson: Yes. I mean, Helen said in her remarks, we'll always look at technology. And we're very active in that, in trying to find the next technology level, so particularly in our fishing and electronics business. So that's where it could translate to.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay, okay. Any -- is the debt deleveraging or as debt paid down, would that be specifically -- that wouldn't be accelerated, that would be based on term structure of maturity?
David W. Johnson: Yes, we've got a term loan out there that with a fairly long maturity, and we probably won't do a lot with that. That's not a big number anyways, about $8 million in debt. So the rest is all revolver.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay. Let me ask the cash dividend question a different way, which is probably annoying on your side. But when you talk about that kind of being open for discussion, would that be something that you would say would be a policy that might be formalized within the next couple of quarters, within the next 2 years? We won't have anything for 5? What's kind of your horizon, maybe?
David W. Johnson: I can't really answer that, Brian. I mean, all I can tell you is that it's active. The discussion is very active.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay, okay, all right. And then on acquisitions, from a standpoint of your next 3-year plan, what -- how do you view the market for acquisitions on pricing the EBITDA multiple or an attractiveness for things that you could? Maybe a niche extension, a line extension, or something that you might look at for Johnson Outdoors?
Helen P. Johnson-Leipold: I would say that it certainly varies by business and what we're looking at, especially if it's a company versus technology. But we are always looking externally and we evaluate opportunities as they come across our desk, plus we proactively look at areas that are strategic for us. We do not specifically incorporate numbers for an acquisition into our plan, but we're always looking and it will become incremental. It's -- there are companies for sale out there. There's also a lot of dollars on the sidelines waiting to invest. We evaluate every opportunity individually and we try to be very, very disciplined in our approach to it.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Helen, would you see the current environment is robust for acquisitions? Or would you see say it's, yes, there's some stuff out there but it's a little pricey. Can you put a kind of a flavor on it?
Helen P. Johnson-Leipold: Well, there are certainly companies in the market out there. We're not specifically interested in looking at something that needs a 100% turnaround. It has to be strategically aligned. And if it is, we will pay the right price for it. So I think it is more opportunities than it has been in the last 12 to 24 months, but it's an ongoing assessment that we do.
Operator: I'm not showing any further questions at this time. I'd like to turn the conference back over to Helen for closing remarks.
Helen P. Johnson-Leipold: Okay. Well, thanks, everyone, for joining us. And we look forward to speaking with you again at the end of the year. Thank you.
Operator: Ladies and gentlemen, this does concludes today's presentation. You may now disconnect and have a wonderful day.